Operator: Ladies and gentlemen welcome to the Straumann Group Q1 2025 Results Conference Call and Live Webcast. I'm Valentina, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time it's my pleasure to hand over to Guillaume Daniellot CEO. Please go ahead.
Guillaume Daniellot: Thank you and good morning or afternoon and thanks a lot to all for joining us for this presentation of Straumann Group's first quarter 2025 results. Please take note of the disclaimer in our media release and on Slide 2. Throughout this conference, we will reference the presentation slides that were published on our website earlier this morning. As always, the presentation and discussion will contain forward-looking statements. The conference will follow the usual format. As shown on the agenda on Slide 3, I will first give you an overview of our strong first quarter performance and then Yang, our CFO will share details about the financials. After that, I'll provide you with an update on strategic initiatives and our outlook. As always, we will answer your questions at the end of the presentation. And then let's move directly to Slide 5. I'm very pleased about our strong start to the year despite the macroeconomic uncertainties that we are all facing. Thanks to the team's relentless customer focus and commitment to innovation, digitalization, and education, we achieved CHF681 million in revenue, driven by a dynamic demand in all our business segments. This resulted in a strong organic revenue growth of 11% reflecting resilient performance across a landscape of ongoing varying regional market dynamics. Looking back at the first quarter, I see three major highlights. First and foremost, our continued strong performance in the EMEA and APAC regions. Secondly, our presence at the IDS Dental Fair, which drove massive interest from visitors at our booth, thanks to the launch of many new customer-focused solutions from innovative products to seamless digital workflow integrations. And thirdly, our new collaboration with the 3D printing pioneer company, SprintRay, which combined with Straumann AXS cloud-based platform, mounts a significant step forward in single-visit chairside restorative dentistry. All these highlights reflect the strength of our business, both in terms of our diversified portfolio and our global market presence. They continue reinforcing the selling foundation we are building to keep delivering sustainable long-term growth. Also in challenging times like this, our high-performance player-learner culture is critical is navigating fast-changing market dynamics. It enables us to stay agile, adapt quickly, and continue to seize new opportunities as they arise. This leads me to our confirmed outlook for 2025. Despite an increased uncertainty within our macroeconomic environment, we are confident about our continued strong performance and aim to achieve organic revenue growth in the high single-digit percentage range with 30 to 60 basis point improvement of the core EBIT margin at constant 2024 currency rate. With this, let's have a look at the regional development on Slide 6. While we had a strong start into the year despite ongoing macroeconomic uncertainties, we continue to observe significant variation across regional market dynamics, which are reflected in differences in patient flow and consequently in regional performance. I have already highlighted the excellent performance of our largest region EMEA. Even the high baseline continuing to deliver strong growth quarter-after-quarter is a remarkable achievement. Our performance can be attributed to four key factors; one structural and three specific to the Straumann Group. On the structural side, since the pandemic, people are spending more on the health and well-being. In addition in the EMEA region, in particular, the price gap between a free unit bridge and an implant treatment has narrowed over the past years. This combined with improved reimbursement from private insurance over the past years and a growing number of trained dentists offering implant treatments, is supporting continued higher market penetration. Secondly, our multi-price multi-brand strategy has been instrumental in serving a broad customer base and gaining market share. Thirdly, we have made significant investments in direct go-to-market capabilities in Eastern European and Middle Eastern countries such as Romania, Poland, and Turkey as an example rather than focusing solely on more major markets of Western Europe. And lastly, our adjacent businesses such as Anthogyr Scanners and Clear Aligners are also contributing to boost the overall regional performance. In the first quarter, we saw broad-based momentum across all business segments in EMEA. In implantology our Challenger Brands delivered strong double-digit revenue growth, while the Straumann premium brand continued to gain share supported by early successes following the iEXCEL launch in selected markets last year. Orthodontics also made a meaningful double-digit growth further strengthening the region's performance. Finally with the EMEA launch of new solutions such as our Straumann AXS platform, the iEXCEL implant system and unique prosthetic service in the first quarter we continue to create the conditions to further expand our market position. The second highlight is the performance of the Asia Pacific region which achieved a historical high against a strong comparison base. Asia Pacific outside of China performed very well with strong double-digit growth in emerging markets like Thailand, India and Malaysia while developed markets such as Australia and Japan sustained their growth momentum. The implantology business remained the primary growth driver with both premium and challenger brands playing an instrumental role. Furthermore, Digital Solutions made a meaningful contribution to the overall regional performance supported by the launch of our entry-level SIRIOS centralized scanner across the region. Once more the growth in China stood out driven by the long-lasting structural impact of the volume-based procurement initiatives that boosted awareness and made implants treatment more affordable. When it comes to North America the challenging macroeconomic environment had an impact on consumer sentiment leading to soft demand during the first quarter. Despite these very volatile market conditions both our Premium and Challenger segments delivered positive growth with Straumann benefiting from the growing traction of the newly launched iEXCEL implant system. On the other side, the orthodontics business remains soft. Finally, the digital business contributed positively to growth driven by the successfully launched unique prosthetic service and intraoral scanners. Looking at Latin America we are very pleased with the consistent strong double-digit growth. The implant business led by our Challenger brand Neodent remain the main growth driver in its home region with key markets like Brazil and Mexico delivering strong revenue performance. It is also worth highlighting the accelerated growth in the premium segment stands to specifically targeted initially. In addition, ClearCorrect delivered an impressive performance with Brazil and Mexico also being the main contributors. The digital business played a key role as well particularly with strong demand for SIRIOS centralized scanners further supporting the region's robust growth. And with this I hand over to Yang to provide additional details on the financials.
Yang Xu: Thank you, Guillaume and hello, everyone. I would like to remind you once again that we restated our financials according to IFRS requirements following our sales of DrSmile business in September 2024. So the financials I will walk you through now refer to continuous operations for both 2025 and prior year first quarter numbers. On slide 8, our revenue in the first three months of this fiscal year reached CHF 681 million, which corresponds to an organic growth of 11%. And for the first time in several years the foreign currency impact was rather muted. However, as you have likely noticed the Swiss franc has recently been strengthened again and we could face foreign exchange headwinds in the coming quarters. For this quarter there was also no M&A impact. Thanks to broad-based share gains the group -- growth globally reflecting the [Technical Difficulty] different regional dynamics. The significant growth in the first quarter was also across all segments: implantology, orthodontics and digital. Let's move to slide 9 and our capital allocation principles. We remain committed to our long-standing and successful capital allocation principles. As a growth company our top priority remains to reinvest in sustainable growth in the business. We also aim to maintain a strong balance sheet through economic cycles as evidenced by our low leverage and strong liquidity management. With heightened macroeconomic uncertainty, we continue to support our customers leverage our global supply chain network and ensure sufficient inventories across various markets. Mergers and acquisitions remain a strategic priority to accelerate our strategy. Two weeks ago we also paid our dividend which was 12% higher than the previous years reflecting our commitment to maintaining or gradually increasing the absolute dividend in line with earnings growth. Today is also my final quarterly results presentation with the Straumann Group. I want to thank you all for the meaningful discussions we've had and look forward to seeing goodbye in person during my last road show next week. With that Guillaume back to you.
Guillaume Daniellot: Thank you ,Yang. Let's move on to slide 11 straight away. In the current environment with so many uncertainties, we can strongly rely on our key fundamentals. First, we operate in a growing market where we hold approximately a 12.5% share. Secondly, our multi-brand and multi-price portfolio is very well-diversified to cater to different customer segments. And thirdly, we benefit from our broad geographical market presence served by our global manufacturing footprint. Looking at the market first, implantology remains the cornerstone of our business and with a global market share of around 35%, we are clearly the leading company in this business segment. And while we have come a long way, there are still very significant growth opportunities ahead of us within and beyond the implantology market. Moving on to slide 12. I would like to highlight once again the fact that the implantology market remains yet significantly underpenetrated, offering a vast growth potential. Spain with its large number of surgically trained dentists and a dynamic DSO presence driving increased affordability for patients serves as a valuable benchmark for evaluating average treatment penetration. Using Spain as a reference, we see significant potential for growth in both developed markets such as France, Germany and the US as well as in emerging markets like India. We are confident that market penetration will actually continue to rise. This development is driven by increasing patient awareness of dental implant treatments, a growing number of surgically trained dentists who can place implants in all geographies and more affordable treatment costs. These factors will further accelerate market expansion and we are well-positioned to capture this opportunity. A good example is China where the three element mentioned above unlocked by the implementation of the VDP have significantly increased implant penetration, although overall levels still remain relatively low. Therefore, we believe China as one strong example will represent a large market with significantly long-term growth. Let's move on to slide 13. The second important strength I mentioned is that we have significantly expanded and built a diversified portfolio over the years. Thanks to our multi-brand strategy in implantology, we offer solutions at various price points catering to the different customer segment. In addition, we have successfully diversified implantology technology and strengthen our global presence giving us the flexibility to adapt to different customer needs and pricing expectations worldwide. Moving on to our third strength on slide 14. We have significantly expanded our geographical footprint both in terms of presence and production facilities, while we operated just six manufacturing sites in 2013, we now run nine production facilities worldwide including the Shanghai campus, which we expect to be fully operational in the next coming months. This expanded manufacturing network strengthens our supply chain and significantly improves its agility and resilience to a fast changing environment. We already leveraged local production across several business areas. For instance in the US where we have the capability to produce a significant portion of the solutions sold in that market. This applies to premium implants as well as most other business areas such as customized prosthetic and orthodontics. Together these three fundamental strengths form a strong foundation for sustainable growth, allowing us to serve different customer segments in over 100 countries. It is precisely this rich that gives us a decisive advantage in times of economic fluctuation. Our strategic compass is designed to capture a growing share of our total addressable market of CHF20 billion. Innovation, digitalization and education are our three key pillars to unlock these opportunities. I am pleased that we have continued to make significant progress in the first quarter along all those steps have mentioned. Let's start with our approach to innovation and digitalization on slide 16. Innovation is clearly critical to expanding market share and there are two major elements to it. Firstly, what we call, the what dimension. It is corresponding to the product and solution side. We constantly innovate there with the goal of helping clinicians to reach clinical excellence and efficiency always backed by scientific evidence. Secondly, the how dimension. This is related to the customer experience side. As in many industries today, delivering a superior customer experience in terms of simplicity, efficiency and convenience is what separates successful solutions from those that fall behind. Technology and especially digital innovation is a key driver in creating this differentiated experience for clinicians. First, by innovating on both the what and the how dimensions, we ensure that we remain ahead of the competition and keep expanding the leadership in our core segment. Now, let's move to Slide 17 and talk about how we combine innovation, digitalization and indication at the International Dental Show in Cologne in March. With regard to the what dimension we pursued our Global iEXCEL launch at IES. This next-generation implant system combines four implant designs in one, with both unique features such as rock solid material and SLActive surface. It supports minimally invasive treatments and faster OCO integration and this drives practice efficiency, and high clinical outcome. We also introduced UN!Q, our cloud-based prosthetic service that enables labs to outsource the design and production of highly customized reagents. Finally, Falcon our first compact dynamic navigation system for real-time surgical guidance, generated a very high interest. These innovations reflect the strength of our core implant business, and our ability to further expand our market share in this segment in the short and midterm. Now moving to the how dimension which also strongly relates to our key success pillar digitalization. In today's environment, it is no longer enough to have great products and solutions. We have to make workflow simpler, faster and more connected, but that's where our digital capabilities come in. Our cloud-based platform Straumann AXS, which we just launched for the EMEA region connects the entire treatment journey from diagnostics to execution, in all one seamless digital ecosystem. Let's move on to Slide 18. At the IDS we announced our collaboration with SprintRay and launched the Straumann Signature Midas chairside 3D printer. Combined the SIRIOS centralized scanner and a complete integration into our Straumann AXS platform, we can now offer a unique chairside workflow solution that allows clinicians to deliver single respirations in under 10 minutes making efficiency single-visit treatment or reality. Thus, we increased patient benefits by shortening time to tools while enabling clinicians to treat more positions efficiently. So by combining both the what and the how dimensions, and emphasizing on education even such as IDS, we are delivering meaningful value to our customers and building a foundation for our short mid- and long-term growth. Now let's move to Slide 19, and talk about how we support our growth tone. We are investing significantly in innovation and digitalization as mentioned earlier, but also in education since implantology and orthodontics are not covered in undergraduate clinical education. We therefore, play an important role in empowering clinicians to be more active in specialty dentistry cases. Now the large share of our capital expenditure goes to expanding production capacity and strengthening our supply chain. In China, the volume-based procurement initiative has a long-lasting impact by boosting awareness and making implant treatments more affordable. We see significant growth opportunities ahead, which are supported by the large population and the aging trends. To capture these growth opportunities, we invested in local production. The ramp-up of our Shanghai Campus is well on track. Production has already started, and we expect to begin fully approved manufacturing for China VBP commercial products during the second half of 2025. Another major milestone is the start of construction of our third Neodent factory in Curitiba Brazil to support the strong growth of our challenger brand Neodent volume. As you can see in the photo, work is already well underway. The site is expected to be operational by the end of 2026. Together with other supply chain enhancements, both investments will enable us to continue delivering high-quality solutions at scale and support our ambitious growth plan, which brings me to our outlook on Slide 20. We have entered 2025 from a position of strength, backed by a diversified portfolio with a strong market presence and a clear strategic vision. With this foundation, we remain confident in our ability to navigate the complexities of the global landscape, and continue expanding our market share reinforcing our confidence in our long-term ambition for 2030. Our broad geographical presence provides resilience against regional economic fluctuations. While our worldwide manufacturing footprint, supports our supply chain flexibility in times of growing geopolitical complexities. While tariffs will have an impact we have set up the right measures to manage the consequences. Therefore, we remain confident for 2025 to achieve organic revenue growth in the high single-digit percentage range, with a 30 to 60 basis points improvement of the core EBIT margin at constant 2024 currency rates. And now to conclude, I would like to thank Yang for all her contributions, her dedication insight and very positive spirits have made a lasting impact and we are grateful for everything she has done. Thank you, Yang. With this we can open the question-and-answer session. [Operator Instructions] Chorus Call can we have the first question please?
Operator: The first question comes from Brandon Vazquez from William Blair. Please go ahead.
Brandon Vazquez: Hi. Good morning, everyone. Thank you for taking the question. First I just wanted to start on the guidance. You guys put up a good first quarter here and I hate to harp on it. Could you actually reiterated guidance on what's an uncertain macro? But just maybe talk a little bit about the dynamics because as you go through the year for guidance your comps get a little bit easier. You did a double-digit at the start of the year. So it implies a little bit of a deceleration through the year. Perhaps maybe is there just a little conservatism that you're building in for the full year organic growth guidance. Maybe we can start there?
Guillaume Daniellot: Yeah, I think we are pleased with our first quarter. In the current environment we believe having a high single-digit growth guidance it's already quite a very significant objective. Then we don't know a lot of the kind of macro evolution in the coming quarters then I think it's still not so easy to predict that the Q1 conditions will remain the same for the remaining quarters of the year. Now, if everything stays the same we will be very pleased by the second part of the year to revise guidance if needed. But for the time being we believe the guidance is well placed and we are really confident in being able to achieve it.
Brandon Vazquez: Yes. That makes sense. And then maybe one -- I'm sure others will have questions on macro as well. So maybe I'll pivot here and ask, there's a lot of new products that you guys are launching a lot that you highlighted from IDF. Maybe spend a minute just talking about the top one or two that you think will be most impactful here to growth in maybe the next 12 to 24 months and why they may be the most impactful to the company growth profile? Thanks.
Guillaume Daniellot: Yeah. I think -- thanks for highlighting this. We have to say we are really, really happy with the level of innovation we are bringing to the market on a consistent manner. And this is one of the key strengths we have to continue gaining share even, if some -- as we see the macro is not very positive gaining share is the only way to grow and we are still having or keeping the conditions for this -- for all our sales team worldwide. The -- I would say the two major -- or the three major products that we are going to see impact in the next 24 months are obviously the iEXCEL implant system. This is the way to grow share on our core implant segment on the premium side. The feedback we are hearing from customers using it already is extremely positive then we are really confident there. The second side is considering the digital dimension. We are really excited with our intraoral scanner portfolio our entry-level SIRIOS especially in markets like Brazil, like China, like South Europe for example are already providing significant growth on this side. And of course, the partnership with 3Shape is allowing us to have a complete portfolio. And we believe that digital penetration will continue to significantly increase. Despite the macroeconomic environment we believe that efficiency gain is going to be important into the practices and the price level of scanners have significantly decreased. And we are still believing significantly in this growth driver. And lastly is this partnership with Midas and SprintRay where it could also significantly change the landscape in single tooth restoration chair side that will be -- I would say at the beginning a slow development because we are then implementing this technology but we believe that in 24 months from now it could represent something very interesting for us. Then that's the way we are seeing that. And we are very exciting about those products that has been launched less than three months ago or four months ago meaning that a lot of growth potential for us.
Operator: Next question comes from David Adlington from JPMorgan. Please go ahead.
David Adlington: Thanks for question. Maybe just firstly if you could point towards the trajectory through the quarter, were you seeing any softness intraoral the quarter in either the US or Europe? And then secondly, just on foreign exchange, give you an update in terms of what you think the headwinds will be from here for the rest of the year top line and margins? And then finally on tariffs, you alluded to it, but is it safe to say that you expect very limited impacts from tariffs? Thanks.
Guillaume Daniellot: Thank you, David. I got [indiscernible] the two last questions that I'm sure Yang will take. For the first one you were -- I did not capture the first -- is the dynamic within the quarter for the region? That was the question?
David Adlington: Yes, exactly. I was just wondering if you're seeing any softness given the macro headwinds increased through the quarter? I just wondered, if you saw any softness as it came towards the end of the quarter in either Europe or US specifically?
Guillaume Daniellot: Okay. Yes, all three interesting questions. Actually what we have seen in North America while being soft is a very volatile situation from quarter-to-quarter and we have seen actually customers somewhat responding to the news that they were receiving on a macro economical side. Then they have been key of potentially stocking themselves a little bit elastration flow then we have seen up and down from month to month. But I would not say that we are seeing worsening during the quarter. We actually ended much better than we were in the middle of the quarter. And it's still a very volatile environment. And it has been a lot related to the uncertainty we believe on the marketplace. And I really believe that in a better and at least a better and more stable dynamic in the months to come. Thanks of course from our innovation that will keep providing us new customer acquisition opportunity, but also by the fact that I think some clarity will be I hope gained when it comes to macro. For the two other questions, Yang, do you want to chime in?
Yang Xu: David, first on the FX question. Yes, we have seen very muted almost 0 impact on the first quarter. However, if we take a snapshot of today or yesterday's spot or forward, it could be as high as 100 basis points on the top line. And it depends on if you look at the spot of the forward rate it could be 20 to 30 basis points on the bottom. But this is of course point in time and nobody has a crystal ball so we just have to observe and update the market as we go. The tariff is of course we are somewhat insulated from the tariffs thanks to our global network but we're not immune. Their tariff has some bearing in our financials, but it's fully embedded into our confirmed guidance. The reason is we are also diligently put in place the network optimization in responding to the changing tariff situation. And we do have a footprint that is across the globe including the United States and that help us to listen to some of the things. But we of course right now as we speak as everyone else we are managing the network in the most efficient way so we can respond to the tariffs and be able to absorb some of the negative impact into our full P&L for this year.
Operator: The next question comes from Victoria Lambert from Bernberg. Please go ahead.
Victoria Lambert: Hi. Thank you for taking my question. The first one is just on the outlook for the US Are you guys still expecting patient volumes in 2025 to be ahead of 2024? I think you gave that color in February, so just an update on that would be helpful. And then my second question is just on ClearCorrect, you had some cost savings from the DrSmile exit last year and you've been reinvesting. So just wanted to get a sense of if any of this reinvestment have been paying off what we're seeing in market share? I know that US has been a bit softer but maybe ex US we could get a bit more color Thank you?
Guillaume Daniellot: Yes, of course when it comes to US forward looking, again, I think it's still very unpredictable in some ways with all the elements that are at play and all the discussion that you guys are hearing as much as we do on the potential impact on the tariffs and inflation and then potentially adding a lower demand overall. But we actually don't see this at the moment. We don't see the situation worsening and we believe still that we are going to have a better 2025 than 2024. This has been our -- I would say our view before starting 2025 and it did not change so far. Then we have a -- it's a slow start based on all the different announcements that have not been planned by anyone. But we still believe that we have strong fundamentals that are going to be play here once again on the innovation side or market share gain also by a more stable environment and a strong execution. And we will then deliver on a better US from our perspective and that's what has been included in our guidance. When it comes to ClearCorrect ex US, I think double-digit growth. We are very pleased with the feedback we are receiving from customers that are pleased with the improvement we have done in software. We have the capability to support them in growing their number of cases than both Europe and Latin America really than keeping -- developing our ortho business. And this is what we are looking at also structuring in the same manner for US when the macro will be more supportive of sales growth. And that's why the investment that have been done on the one side hit on the ground and on the second side on technology be it software but also treatment planning expertise help us really to improve our value proposition as we were expecting.
Operator: The next question comes from Hassan Al-Wakeel from Barclays. Please go ahead.
Hassan Al-Wakeel: Hi. Good morning. Thank you for taking my question. A couple from me. Both follow-ups. Firstly on tariffs, could you talk about what your assumptions are today and whether you're embedding all announced tariffs? And there's a range of impact within the guidance that you're thinking about. And then to what extent can you cover your manufacturing needs from 100 or? And what about digital equipment? And then secondly, following up on your US comments when we met at IDS game, you sounded more cautious on this market and the volatility you were observing here. Are you seeing any evolving dynamics between single piece and for large and how confident are you in achieving consensus expectations of mid-single-digit growth in North America in full year 2025? Thank you.
Guillaume Daniellot: Well, when it comes to tariffs, we have then quite a good coverage of already local manufacturing. We are obviously optimizing our end over site to be able to produce more finished product locally to the US market. But we think we can absorb a significant part of the volume. So there 100% of our customized prosthetic is done in Texas, 100% our clear aligner is manufactured also in Texas for the US market. A significant part of our biomaterial is done with local partners like LLA in Virginia. Then I think we have our Challenger brands that is produced in Brazil that is going to, of course, be going through the tariff side. And we are looking at solutions for our digital portfolio together with our partner on the free-state side and our own manufacturing side as well. Then I think a large part of our manufacturing is then already based in the US. And for confirming our guidance we have taken the situation that has been expressed by the US administration early on when they have announced the liberation day. Then that's where we stand then we are going to look at what it means from the kind of final discussions or alignments in between countries in the three months kind of period that has been granted for those kind of international alignment. And that's why we are not taking the easy way and we are planning for the worst and expect for the best. When it comes to the US, we are normally confident to do better than what we have done in 2024 in the current macro environment. Obviously, if you would have a very strong deterioration of the US, it will be very different. But at the moment, in time we don't see a sign of this in the market. We are discussing, of course, with all our customers and staying very close to them. They have seen again a lot of activity but not a worsening trend. And that's one of the reasons where we believe we can still achieve the vision that we had at the beginning of the year.
Hassan Al-Wakeel: Very helpful. If I could just follow-up on the strong ClearCorrect performance OUS. Are you seeing any difference in performance or the mix between specialists and GPs? I know this is something that you've been working actively on.
Guillaume Daniellot: No, we have seen strong performance ex US but not in the US.
Hassan Al-Wakeel: Yes. And my question is how the performance is – trend between specialists and GP?
Guillaume Daniellot: I think our portfolio capture more to the GP segment but you have some countries clear aligner and orthodontics are done only for specialists. And Brazil is a very good example. Then I would say that, we have from an overall European standpoint a much more GP penetration, where when it comes to Latin America is much more specialists penetration, when it comes to regulatory than situation of those two different regions. And that's where we are pleased that our systems can now both be delivering on specialists and GP segment, looking at the performance we have been able to post for the past quarters already.
Hassan Al-Wakeel: Perfect. Thank you.
Operator: The next question comes from Daniel Jelovcan from ZKB. Please go ahead.
Daniel Jelovcan: Yes. Good morning. The first question is on Germany and France. You mentioned Germany was again strong – strong. Does that mean like the EMEA region so close to double-digit? Or – and what were the major drivers there? Was it iEXCEL or Premium Challenger and so on? And including to that question is the French market you didn't really mention and on top of my mind I think you had certain management change there? How does it look in France? Thanks.
Guillaume Daniellot: Yes Daniel, Germany was strong than the – and the major reason of this very solid performance is the combination of all our businesses that are now delivering very well. I've been expressing the fact that in EMEA and I would say Germany, also especially, we have seen the more dentist placing implants. We have seen also reimbursement evolving a little bit favorably over the year then the market conditions are positive for supporting implant market penetration and we have significantly increased our capability to serve customers on both Premium and Challenger brands. Then we were relying mainly on Premium brand in the past and we are now getting the combination of Premium Challenger brands some ClearCorrect and some digital, which are bringing then our German market performance much above the total market growth that we see. When it comes to France, I think we are – well, France is not in a period of best performance is actually acceptable but as you can imagine our expectation is to be significantly above market growth. And we have on the one side then the need to increase and improve execution but also the fact that we have our former leader has been looking for a different experience at the beginning among the group. And that's why we had also a change of leadership here. And we are trusting our French team to be able to leverage all the innovation that we are giving also as an opportunity of creating more customers and delivering even higher performance than the one we're having right now.
Daniel Jelovcan: Okay. Thanks very much.
Operator: The next question comes from Vik Chopra from Wells Fargo. Please go ahead.
Vik Chopra: Hi, good morning and thanks for taking the question. Two for me. I appreciate the commentary on tariffs but I'm just wondering if you can quantify the tariff exposure you're facing in 2025? And when do you expect those tariffs to hit the P&L? And then I just had a follow-up please.
Guillaume Daniellot: I think we – the tariff exposure is fluctuating. It has been fluctuating during the whole first quarter, depending on what's going to be applied, which is not applying then we have a different range and different scenario. And when it is going to hit then it has already started to hit the company with the 10% that have been implemented for all the different countries. And for the time being this is the first step that we have like every company submitted to tariffs. And then we are going to see what's going to be the final reasons in a couple of months from now. But that's where we stand at the moment by being able to have more clarity on this side. But when we look at the worst case scenario, we are able to manage the consequences by all the preventive measures we have put in place.
Vik Chopra: Okay. Got it. That's very helpful. And then my follow-up question is I just wanted to get some additional color about the differences in growth this quarter in your value and your premium implant businesses and how we should think about them for the rest of the year? Thank you.
Guillaume Daniellot: On the global perspective, when we look at our two different brands Premium and Challenger, the Challenger is growing always faster than Premium but the Premium is also very, very strong. And we can say that we are almost double-digit on both sides. We are having our then -- with our Challenger brands being able to of course be much more dynamic because of the geographical mix, once again, having all those emerging markets growing faster from a volume standpoint and all being at 90%-ish in the Challenger side.
Operator: The next question comes from Maja Stefani Pataki from Kepler Cheuvreux. Please go ahead.
Maja Stefani Pataki: Good morning, everyone. Two questions please. One, could you provide us a bit of an estimate of how much the potential impact from the IDS was on growth in Q1. And also what do you think that the Easter impact -- the positive Easter impact was in Q1 just to see where the potential underlying growth could have been in Q1? And then the second question, more broadly speaking, I fully understand that the visibility on what is going to happen particularly in the U.S. is very low and you reflect on the market being very volatile. In case the market would remain very volatile and growth would slow a bit and you would not get to your target, how do you think about costs? Would you consider to adapt on the cost side to match the new environment? Or do you think the projects that you've put in place for long-term growth should be continued throughout in this challenging time? Thank you.
Guillaume Daniellot: Yes. Good question Maja as well. And when it comes to IDS, IDS is not really a place where we sell. It's -- we are selling to some customers in the German market. But I would say, it's a limited impact on the total number that you are seeing -- that this could be excluded as a special effect. Secondly, the Easter effect is a good one, at least when it comes to EMEA. Last year then -- it has I would say supported a bigger growth or a stronger growth in Q1, because Easter is in April this year and it was in March last year, meaning that we have somewhat extra selling days this year in Q1 that we're not going to have in Q2. Then we are expecting of course this effect in the second quarter for the EMEA region. When it comes to our investment policy and related to our short-term performance. We are of course a broad organization an innovation-based growth organization and investment in growth and for the long-term is really critical. Now obviously, we are also capturing and caring for the short-and-midterm perspective. And there are significant investments that our plan for our growth projects. Some are of course committed. Some are more flexible. And if we were having, to see significant I would say headwind from macro because of a recession in any part of the world or whatsoever then we would have of course the ability to take care of our total spending and assess of course the criticality of our different investment for the long-term. And it will be always a balance that we have been able to do. If you look at the COVID time, if you look at the more difficult time in the past we have been always balancing the short-term then reasons with our long-term growth investments and this is what we would be doing the same way if those kind of scenario would be coming up.
Maja Stefani Pataki: Thank you.
Operator: The next question comes from Oliver Metzger from ODDO BHF. Please go ahead.
Oliver Metzger: Yeah. Good morning, from my side. Two questions I have. The first one is about the dynamics in China. So can you make a comment about right now about the strong dynamic do you see some, the some headwinds from penetrating the Tier 3 clinics? Or would you regard the current momentum basically as the underlying market dynamic? Second question is on iEXCEL. So iEXCEL brings more freedom to the dentist, but which comes at a premium. So value contribution should be bigger than the volume contribution. First can you confirm this? And second can you make a comment whether iEXCEL has been so far more successful at the conversion of existing Straumann customers or at the approach of new customers? Thank you.
Guillaume Daniellot: Hi. Thank you, Oliver. China question is obviously important, and we see overall in the marketplace still a significant dynamic. Once again, we believe that the VBP rules have created very significant conditions for the growth, because the reservoir that have been unlocked is massive between patients that are having missing teeth and that are able to afford treatment. Now, as always, because of education level, because of information availability, those kind of changes are happening first in Tier 1, Tier 2 cities with people being able to invest to adapt. And this is what we have seen in the first 12 to 18 months. And we have seen this dynamic being also now happening in Tier 3, 4, 5 cities where we see a lot of dynamic in this part of the country. Then that's one of the reasons -- that's one of the reason also that our multi-brand portfolio is very critical. We are having three brands in China at three different price points. We're having Straumann Premium, we are having Anthogyr as a value brand, and we are having Key Plus as our entry-level brand. And all three are growing or at least are helping us to increase further not only our top line, but also our market shares. When it comes to iEXCEL, yes, it creates value at the practice level. I think not only because of simplicity. If you recall something which is important that we might not underline enough, because of the fact that iEXCEL is based on rock-solid material, then you can use narrower implant diameter. It means for example in specific macro conditions like today, you can do what we call graft-less procedure. It means that in very thin jawbone, you can place an implant without adding bone grafting, which is reducing surgery complexity, which is reducing the total procedure price, and which is increasing speed to treatment. Those kind of really interesting technical advantage are really supporting practices not only to have an easier inventory management, not only higher kind of clinical outcome, but also having the possibility to increase conversion rate. And this is what we are driving with iEXCEL and it creates increased value within the practice on both their capability to respond to all patient needs, but also their capability obviously to have a lower than the inventory. Are we more successful with existing -- the new customers? I think it's -- we have to be successful in both. Because obviously we have launched this first with a new customer acquisition strategy because you have limited volume to start with and we want to make sure that we generate growth. But at the same time, all your very good customers who want to try it and we want to make sure that they are also first in line to be able to leverage our new technology. Then we are having, I would say, a healthy mix in between new customers and existing customers than using iEXCEL and both with the same level of very positive feedback.
Operator: The next question comes from Dylan van Haaften from Stifel. Please go ahead.
Dylan van Haaften: Hey guys, thanks for taking my questions and wishing you the best, Yang. So, maybe just to get a clear sort of understanding of ClearCorrect dynamics in the U.S. Could you confirm to us whether it's deteriorated when it comes to the trajectory or not? We understand the OUS growth, but just anything you could tell us there? And then my second question would just be on the initial traction with the Midas and the SIRIOS bundle and how we should think about that over the rest of the year including the consumable component? Thank you.
Guillaume Daniellot: We have not seen a deterioration inside the quarter. We have seen up and down once again in between Jan, Feb, and March. Then that's why we have been again rather still -- staying on our expectations for a better 2025 than 2024 because of the dynamic of Q1. Then that's what we are expecting to see in the second quarter. And I think the second quarter will tell us a lot about what will be overall NAM for total year. When it comes to Midas and our SIRIOS bundle, we are obviously very excited about this, and of course, changing dentistry from that standpoint. We are -- just -- we have just announced this at IDS and we are currently training the team, then the Midas will be commercially available for us starting at summer, then I think the impact will be seen more in the second half of 2025. And I would say it's going to be a step-by-step development because some people will want to try and there will be a word of mouth that will -- I expect be positive. Then I think you will see no effect or limited -- or very limited effect in second quarter. We should start to see third quarter and I think the bigger effect for the year should be in the last quarter.
Dylan van Haaften: Awesome. Thank you.
Operator: The next question comes from Richard Felton from Goldman Sachs. Please go ahead.
Richard Felton: Hi, there. Thank you. Just two questions for me, please. The first one is on the clear aligner business. I was wondering if you could give us an update on profitability post the sale of DrSmile? And then the second question, as it relates to your China business and the establishment of your Shanghai Campus, can you maybe provide a bit of detail on what that enables your business to do differently in China going forward? Thank you.
Guillaume Daniellot: On the clear aligner side, then as we are on the investment side to reach critical mass, we are not yet at a profitable stage. As we are really still increasing double digit, we are feeling that we are then on the good track and a good path to get there. But at the moment for us, it's really being able to reach size. And to reach size on the one side was to ensure that our value proposition was at the right level which we see now it's the case with regard to the traction we have and secondly speaking the feet on the ground. And as we are ramping up our volume and our shares, I think we are going to see profitability then along the way. But this is not what we are pursuing right now with the fact that as DrSmile is out then we need to make sure that we are building up the critical mass of this business. And when it comes to Shanghai, I'm sorry I did not hear the question well. Could you help me with your second question again?
Richard Felton: Yeah. I was just wondering as the sort of the Shanghai Campus is up and running and fully operational, does that have any implications on how you're running the business, either from I guess sort of manufacturing education of your customers that kind of thing? Just wondering how it changes your business operations in China?
Guillaume Daniellot: Yes. On this one from a pure business operation, it has not changed that much. The thing which is really positive obviously, it brings free it brings free benefits, okay? The first one is obviously being compliant with what we expect being the VBP 2.0 about having local manufacturing to be able to then participate in the VBP 2.0 volume, especially related to the most of the clinical operation in China. And that's the first very significant benefit. The second benefit is then having the opportunity of having a lower manufacturing across country than Switzerland also which is a good benefit looking at the profitability and the size of the country it will help us to then continue to invest in the market, especially on the education side where there is a very, very significant need. The third one which is sometimes underestimated is the fact that China is also growing and developing very fast from a technology standpoint. By local manufacturing here, you get access to also technology ecosystem and environment -- supplier environment of also different and advanced technology that would allow us not only to improve and increase our capability in China, but that would help us also to be smarter and maybe even more innovative for the future. Then that's what we see as a benefit of the Straumann Campus and that's why we are very, very excited to get started officially with then the commercially approved product in the second half.
Richard Felton: Very helpful. Thank you.
Operator: The next question comes from Veronika Dubajova from Citi. Please go ahead.
Veronika Dubajova: Hi, Guillaume, hi, Yang. Thank you, guys for taking my questions. I have two please. One is just if you could help us understand the APAC growth rate in the quarter by splitting out China versus rest of the region. I know you've called out strength in some of the emerging markets outside of China, but maybe if you could talk to whether Australia grew double digits that would be super helpful as well. And then my second question is a competitive question on a question on the competitive environment in the US market. And in particular, as you see this continued volatility whether you are seeing more pressure from some of your peers on pricing and/or from their value offerings? Thank you so much.
Guillaume Daniellot: Thank you, Veronika. What we see and I actually -- thanks for highlighting this. We have a very strong growth also from countries outside of China. We have the mature market like Australia and Japan. It's not double-digit growth, but it's still a very, very solid growth that we see in those two countries that are leveraging also all the different parts of the portfolio. And the rest of the I would say really truly emerging markets are really strong double-digit on markets like India, Malaysia, Vietnam, Thailand as well those are really, really strongly growing country, I would say still low volume in most of the case, but really promising for what's coming in the future and keeping the very strong dynamic of the Asia Pacific region. When it comes to competitive environment I think we still see North America as a very competitive market. This is the highest price market in the world. Then there is a lot of competition with a lot of players because of the lack of innovation or trying to gain share through price then we have seen that for a long time. This is still pending as we speak. And have we seen an increased price competition not more than before still at a very high level, but I would not say that we have seen that more than before.
Veronika Dubajova: Excellent. Thank you so much, Yang.
Operator: Next question comes from Hugo Solvet from BNP Exane. Please go ahead.
Hugo Solvet : Hi. Hello. Thank you for taking my question. And thank you Yang for the insight and discussions in the past of couple years. Wishing you the best. First on North America maybe in terms of -- could follow up on phasing throughout the quarter. You mentioned I think on that growth in March was stronger than February was growth in March also stronger than in January? And have you seen in March any prebuying or stocking from DSOs? And second on sales in China this time you expect to have the local China plant up and running for commercial production in H2. How long will it take to fully ramp up commercial production there? And when exactly would you expect not to source any more from Switzerland?
Guillaume Daniellot : To start with the NAM [ph], March, we don't have to we don't want to go too much into detail because I think I don't think that this is giving too much anywhere light on what's happening as the market is very volatile and it was reacting to a lot of the news. But I would say then March was somewhat in comparison with January then it's the same kind of ballpark numbers. And have we seen any stocking effect? No I think because of the lack of volatility because of the volatility then there is a lack of confidence. And then I don't think that there is any kind of a significant stock whether it's on DSOs or even on the single practices. When it comes to our Shanghai Campus, we are going to ramp up over the second half then I think it will take something like six months to be able to deliver a large part of what we are selling in China being manufactured in China, I would say, we should arrive somewhere in December, January to something like 80% or things like this. I would say, in between 70% to 80%. And I'm saying this because we are manufacturing only what, I would say, the standard technology which is then we are manufacturing titanium SLA products and everything, which is the high end of the portfolio and the latest technology like SLActive and Roxolid will still be manufactured only in Switzerland. So that's the manufacturing approach that we have taken. And this is -- when it comes to the Straumann Premium brand we should be around an 80%, 20%. And that's a little bit the picture that you can have in mind.
Hugo Solvet : Thank you very much.
Operator: The next question comes from Julien Dormois from Jefferies. Please go ahead.
Julien Dormois: Hi. Good morning, Guillaume. Good morning, Yang. Thanks for squeezing me in. I have two questions left please. The first one relates to a comment you made at the start, Guillaume, about the change -- the structural change in demand in Europe. I think you highlighted some reimbursement changes and also some of the dentists or more penetration among dentists being trained. So would you have any anecdotal evidence of that and maybe provide a few numbers around this that would be super helpful. And the second question comes back on tariffs and elaborate on the Veronika's question about price competition in the U.S. Did I get to try that you're not planning any particular price increase because of tariffs in the U.S. at this point of the year?
Guillaume Daniellot: Yes when it comes to the structural improvement in the market in Europe and it's what we have seen that over the past year I would say five to seven years. Reimbursement, I -- what's happening in Europe is that in the insurance model, but also in some of the social security systems that are existing in large European countries like France then the free unit bridge was always reimbursed to a certain level and implant was not at all. And that was obviously driving a significant gap into pricing and especially out of pocket pricing for patients where the free unit bridge will be cheaper than an implant and on top it will be more reimbursed. And if you would like to get some numbers idea, I would say, that a free unit bridge for European pricing was around something like $3,500 that went down to $3,000 I would say something like this. An implant was €4,000 six, seven years ago. And I think in average, we should be around €2,500 now. Then the difference in between and -- I think it will be close to the free unit bridge that should be around $2,500 or $2,000 now. Then the price difference in between the implant and the free unit bridge is much lower and especially the reimbursement now it's almost the same, because you have very often system that said I will give you for your implant the same that I would give you for free unit bridge because at the end this is exactly the alternative. Then it has created an environment for GPs to place in implant as well and to be able to sell implant alternatives to free unit bridge in a better reimbursement environment. Is that helpful?
Julien Dormois: That’s very helpful. Thank you very much.
Guillaume Daniellot: And that’s one of the difference in market penetration that we have not seen yet where the price of the implant has really staying at a very high level and this is where DSOs are somewhat helpful to be able to support a bit of a lower treatment cost in order to increase volume. And exactly what we have seen in Spain where DSO has decreased price of implant to play volume gain and we have seen the penetration going up significantly. Then that's why we are confident that our market penetration will continue to rise in the years to come by having those kind of a trend that will also develop geographically. And when it comes to tariffs, we are not planning any specific price increase for the time being with regard to the measures that we have been able to take.
Julien Dormois: That’s great. Thank you very much.
Operator: And the last question comes from Robert Davies from Morgan Stanley. Please go ahead.
Robert Davies: Yes. Thanks for squeezing me in. A couple of questions for me. One is just on your previous comments around growth expectations for China. I think you've mentioned something like 20% growth expected for this year and next year. That was my first question. Is that still true? And then the second one, just if you could give us a little more color around the pricing dynamics between the Premium and Challenger segments as well as what you're seeing in clear aligners? That would be great. Thank you.
Guillaume Daniellot: Yes, we did not express 20% in China. We expressed that when we were at the beginning of the VBP round where we were saying that we expect 20% growth at least for the next 18 months. And this is actually what has happened because of the really strong new customer segment, which is now able to afford. We said then at the beginning of the year from a guidance standpoint that, we still expect double-digit growth in China, which is still what we are believing into as far as we are advanced into the year right now. When it comes to price dynamic, we see then the -- as it has been and I would say in the past couple of years quite some price pressure coming from different side from competition from consolidating environment. But again that's where innovation is really helping us to hold online and ensuring that we are not seeing any significant deterioration of pricing in the different segments. And then I would apply the same thinking when it comes to Premium to Challenger and to clear aligners. When it comes to digital, I would say, it's a bit different. It's a kind of mixed product. You have a different -- it's not price -- you have some price pressure on the top end of the market where there is a significant price difference into the entry-level scanners with regard to the high technology scanner that we are offering and that's where we have really always to demonstrate the quality of the technology of, for example, our partner free shape versus entry-level scanners to make sure that we are still keeping a healthy ratio between what would be premium technology and intraoral scanners, and what would be entry level. And that's what we see not only for us but for the entire market.
Robert Davies: Okay. That’s great. Thank you.
Guillaume Daniellot: Well, thank you and that concludes our conference today. We look forward to meeting you at one of our upcoming events. Our schedule is actually outlined on slide 22. We wish you all the best and have a nice and great day. Goodbye from [indiscernible].
Yang Xu: Bye everyone.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Good bye.